Operator: Good morning, ladies and gentlemen. Welcome to the Gray Media Q2 2025 GTN earnings release. [Operator Instructions] And without further ado, I will now turn the call over to Chairman and CEO, Hilton Howell.
Hilton Hatchett Howell: Thank you so much, Chris. We really do appreciate it. Good morning, everyone. This is Hilton Howell, the Chairman and CEO of Gray Media, and I want to thank all of you for joining our second quarter 2025 earnings call. We have a lot to talk about today. With me here in Atlanta are all of our executive officers; pat LaPlatney, our President and Co-CEO; Sandy Breland, our Chief Operating Officer; Kevin Latek, our Chief Legal and Development Officer; and Jeff Gignac, our Chief Financial Officer. And as usual, we will begin with the disclaimer that Kevin will provide. Kevin?
Kevin P. Latek: Thank you, Hilton. Good morning, everyone. Today, we filed with the SEC on Form 8-K, our earnings release and an updated investor slides. Later today, we will file with the SEC our quarterly report on Form 10-Q. Materials are all available on our website, which is www.graymedia.com. Included on the call may be a discussion of non-GAAP financial measures and in particular, adjusted EBITDA, leverage ratio denominator and certain leverage ratios. These metrics are not meant to replace GAAP measurements, but are provided as supplements to assist the public in its analysis and valuation of our company. Further discussions and reconciliations of the company's non-GAAP financial measures to comparable GAAP measures can be found on our website. All statements and comments made by management during this conference call other than statements of historical facts should be deemed forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors that are contained in our most recent filings with the SEC. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Now I'll return the call to Hilton.
Hilton Hatchett Howell: Thank you, Kevin. Today, we are very happy to announce that our results for the second quarter of 2025 finished better than our original guidance on both revenues and expenses and in line with our revised guidance announced on July 8, 2025. Total revenue in the second quarter was $772 million, a decrease of 7% from the second quarter of 2024 and 1% above the high end of our original guidance for the quarter. Total operating expenses before depreciation, amortization, impairment and gain on disposal of assets in the quarter were slightly below the low end of our original guidance. We had a net loss of $56 million in the second quarter compared to net income of $22 million in the second quarter of 2024. Adjusted EBITDA was $169 million in the second quarter, a decrease of 25% from the second quarter of 2024. Political advertising was obviously lower in the second quarter of 2024, yet similar to the first quarter this year, second quarter 2025 political finished well above our expectation for an off-cycle year. In addition to these results, we have been very active on the M&A front in the past several weeks. If you recall that we reopened the TV industry M&A market in the spring when we obtained an FCC waiver to acquire the FOX affiliate in Rochester, Minnesota and created a duopoly with our NBC station there. In July, we announced a first-of-its-kind 5-market no-cash swap of assets with Scripps. That transaction will bring us into the Lafayette, Louisiana market and include a FOX affiliate in Lansing, Michigan, where we currently own the NBC affiliate. While our decision to sell our TV stations in Colorado Springs, Grand Junction and Twin Falls, Idaho was a very difficult one, we are excited that Gray and Scripps found a path that improves our respective strategic positions and creates more opportunities for the stations in these 5 markets with their new respective owners. Last Thursday, we announced the acquisition of 2 shared services stations from Sagamore Hill Broadcasting for less than $2 million. And then on Friday, we announced the acquisitions of all Block Communications television stations which are located in Louisville, Kentucky; Springfield-Decatur, Illinois; and Lima, Ohio for $80 million. And finally, this morning early, we announced an agreement to acquire television stations in 10 markets from Allen Media for $171 million, including the 3 new markets of Columbus-Tupelo, Mississippi; Terre Haute, Indiana; and West Lafayette, Indiana. So today, everyone, on the calls, please be nice to Kevin. He's been up all night last night and has had no sleep. So he has [indiscernible] on his answers. Together, the Scripps, Sagamore, Block and Allen transactions will add a net 6 new markets to our portfolio. We are particularly proud that we will enter each of these markets, the local news station that was ranked #1 in their respective markets in 2024. These transactions also will create, and I'm really impressed with this, 11 new Big 4 full powered duopolies. In all of these markets, we expect our leverage of our new sales and sports strategies for the benefits of their local communities and for the public interest. Each of these transactions also furthers our commitment to pursuing tuck-in and duopoly creating transactions in a prudent manner. When totaled across all 4 transactions, we will be adding strong assets that will be immediately cash flow accretive and therefore, will contribute to our efforts to improve and enhance our company's balance sheet. We have had a busy few weeks putting together these transactions, and we are not likely to continue at this pace in the next quarter or 2. Instead, we will focus the balance of this year's strategic energy on obtaining the necessary regulatory and other approvals to ensure prompt closings of these announced transactions as well as working to ensure smooth transitions for the affected employees, advertisers and other stakeholders, all by the end of 2025. We also made significant progress on strengthening our balance sheet during the second quarter of this year and into the third quarter of this year. During the second quarter, we reduced our outstanding indebtedness by an additional $22 million. We finished the second quarter with a first lien leverage ratio of 2.99x and a leverage ratio of 5.6x, each as defined by our senior credit agreement. In July of 2025, we completed an offering of $900 million of senior secured second lien notes, along with a $50 million increase in our revolver commitment, which now stands at $750 million. The exceptional demand from the second lien transaction allowed us to also extend a $775 million first lien debt issuance. Jeff will provide more details on each of these transactions later in the call. I'd like to simply say thank you to our investors who are supporting us as we continue executing on our deleveraging and growth strategies. As noted in our press release this morning, our Board of Directors declared the usual $0.08 per share quarterly dividends. As always, our Board will consider capital allocation each quarter in light of other opportunities to deploy capital for growth. Operationally, we continue to enhance our local content offerings in the second quarter of 2025. We now have local and regional professional sports deals covering nearly 80% of all of our markets. Our stations and our people continue to receive national recognition for their outstanding journalistic efforts. We are incredibly proud of our combined 81 regional Edward R. Murrow Awards for excellence in journalism to 38 of our television stations. I'm also exceptionally proud of KWTX in my hometown of Waco, Texas for spearheading a company-wide partnership with Graham Media on a campaign to raise money for the Texas floods in Kerrville, Texas. That campaign raised over $1.1 million, once again demonstrating the power of broadcast and our company's commitment to serving local communities. In June, we announced that we had renewed our affiliation agreement with CBS for 2 more years. As part of that agreement, WANF, our primary television station in Atlanta, will become an independent television station. There are numerous examples of very successful independent television stations across the country and indeed within our own company, which includes KTBK in Phoenix, Arizona's Family, which is the #1 station in the market and across the state of Arizona. We are excited for WANF to officially make the transition next week, and our community should be excited to see their Braves, the Hawks and the Dream and all of our expanded local offerings that are uniquely Atlanta. The momentum at Assembly Studios also continued in the second quarter of this year. The CBS daytime soap opera, Beyond the Gates, which we discussed on our last call, was extended for a second season and will continue to contribute to the activity on site at Assembly. We are actively engaged with potential development partners who are contributing or would be contributing their financial resources and development expertise to accelerate value creation at Assembly Studios. We expect to have more announcements about these exciting plans later in 2025. We have made a lot of progress so far this year and are excited that we are capitalizing on opportunities across multiple aspects of our business to enhance shareholder value. At this time, I'll turn the call over to Pat to address our operations.
Donald Patrick LaPlatney: Thank you, Hilton. As you saw in our July 8 guidance update, we finished the quarter at the better end of both our revenue and expense guidance. Let me provide a little more context about how the quarter played out. Q2 started with the same cautious tone amongst our advertisers that we experienced in the first quarter, particularly in the auto category. Through the quarter, we saw stronger core activity than we projected back in May, and we ultimately finished on the high side of guidance, down about 3% versus second quarter '24. From a category perspective, like in first quarter and as we guided for second quarter, automotive came in down high single digits. Legal continues to grow nicely, up double-digit percentages versus last year and is a top 5 category. Other categories are a mixed bag, in some cases, surprisingly resilient. Restaurants were soft, but discount and department stores, tourism and entertainment, all linked to consumer discretionary spending were up over 5% versus last year. More essential categories like health, home improvement, education and financial services were flattish. Digital was up again nicely at 8% and our new local direct business grew a little over 2% in the second quarter of '25. Our multimedia sales teams continue to partner with advertisers to bring new businesses to our trusted local platforms. Once again, political ad revenue, as Hilton said, was ahead of our expectations in the second quarter of '25. Our guide for the second quarter was about $2 million to $3 million, while our actual results came in at $9 million. Most of this revenue is generated from issue advertisers, supporting the President's legislative priorities, but we saw spending from the Arizona Governor's race as well as the Georgia Senate and state races in Virginia. Providing guidance for the third quarter of '25 continues to be challenging. We have guided our core ad revenue to be down low to mid-single digits. It's important to remember, however, that the Olympics on NBC provided about a $20 million uplift in July and August of '24, of which about $4 million was political. If you factor that in, our third quarter guide is flat to slightly up. Across the categories in the third quarter, we're seeing automotive and also restaurants facing lower. And we're also seeing some pockets of strength still in legal, consumer goods and entertainment. We expect digital revenue to be up low double digits in Q3 with a continuation of political spending. Jeff will now address the key financial developments of the quarter.
Jeffrey R. Gignac: Thanks, Pat. As Hilton mentioned earlier, reducing debt and leverage remains our top capital allocation priority, and we remain focused during the second quarter. We continue to chip away at our debt by repaying an additional $22 million in the second quarter of 2025. This is our total capital markets debt reduction since the beginning of 2024 to $560 million. Our expense reductions that we've been discussing on our prior calls are showing up in our results and supporting the other side of the equation. Notably, our operating expenses were flat in the second quarter of '25 versus the second quarter of 2024, and that follows a decline in the first quarter versus first quarter of '24. We finished the quarter at 2.99x first lien leverage and 5.6x total leverage, each using the calculation in our senior credit agreement. On our first quarter call, we raised the possibility of M&A providing another avenue to reduce leverage and enhance our ability to serve our markets. As we described, our guiding principles on the M&A front focused on finding delevering transactions that are strategically important and/or create duopolies to strengthen our local market presence. Indeed, our transactions with Scripps, Sagamore Hill, Block and Allen will be immediately accretive to cash flow and to our leverage ratio when we close later this year. We estimate that if we close these transactions today, our leverage ratio would be approximately a 0.25 turn lower than where we finished the quarter. We're continuing to make progress on our net retransmission and moving towards sustainability on that front. This is a function of a multiyear effort that continues. We continue to work with our network partners to find mutually beneficial arrangements. In July, strong market conditions allowed us to access the debt market twice. As we evaluated our options, it became clear that raising some junior capital could accomplish a number of objectives. We also wanted to set the stage to refinance our first lien debt after 2026 political cash flows. We ended up raising $900 million of 9.625% senior secured second lien notes due 2032, and we concurrently increased our revolver by $50 million to $750 million and also extended our revolver maturity to December 1, 2028. The new second lien layer in our capital structure fully repaid our 2027 notes and reduced first lien leverage by repaying $403 million of our Term Loan F. Given the strong reception to the second lien, we quickly followed with an issuance of $775 million of 7.25% first lien notes that lowered our cost of debt and extended our maturities out to 2033. As a result of these actions, we have no material maturities until December 2028, and we have a clear path to address our remaining '28 and '29 first lien maturities. We completed the transactions with less than a 25 basis point increase in our overall cost of debt, and you'll see that reflected in our updated interest guide. Importantly, we also have access to balance sheet and internally generated capital to reduce debt and to pursue delevering M&A. Taking into account the July refinancings, we estimate that our first lien leverage decreased from 2.99x to 2.6x, our secured leverage increased from 2.99x to approximately 3.6x, and our total leverage did not change other than from the impact of the transaction costs. One last thing I'll note, the One Big Beautiful Bill Act allows for greater interest deductibility. As a result, you will see that we lowered our tax guidance for the year, and we no longer expect to make any material tax payments for the remainder of 2025. This concludes my remarks, and I'll turn the call back to Hilton.
Hilton Hatchett Howell: Thank you so much, Jeff. And operator, we'd love to open up the line for any questions you guys may have.
Operator: [Operator Instructions] First up, we have Dan Kurnos of The Benchmark Company.
Daniel Louis Kurnos: Yes. A lot of ground to cover. Appreciate all the color, guys. I guess, well, first, I'll just say just a shout out to Jeff, heroic job with the balance sheet. So well done on that front. Second, I'll ask Hilton, I guess, kind of standing pat, does it mean -- I assume you'll continue to look at swaps and other things that could improve. Obviously, you have a lot to digest after what you've done, but just kind of where you're headed if an opportunity arises. And Jeff, I know you gave the color on leverage improvement post transaction, but just any way to think about synergies or buyers' multiples on some of these?
Hilton Hatchett Howell: Well, Dan, let me just begin. First, thank you on your comments with regard to our balance sheet. It really was, in fact, heroic. And I'm really proud of Jeff Gignac for leading that and our whole team for that effort. With regard to the transactions that we have announced really since the announcement that I've covered in my comments in Rochester, Minnesota, we've done a lot of transactions. I think everybody that has spoken in the industry will tell you that everybody is talking to everybody else. And while we don't have any current plans on other transactions, we're always going to be listening, Dan. I mean -- but I do know that Sandy here, who's also with us is going to have -- it's a big lift. We've got a lot of markets here. And the first thing that you have to do when you run any kind of business is to make sure what you've bitten off can be handled. I am very, very excited. And I want to publicly thank the entire management team at Scripps because it's hard for any 2 companies who are all justifiably proud of their assets and their operations to be able to reach an amicable swap, and we did so, and I'm immensely proud of it. And so it's going to be very good for Scripps. It's also going to be very good with Gray because really when we announced it, we had a duopoly in Lansing. But now with the acquisition through Scripps and what we have announced this morning with Allen, we get a second duopoly out of that transaction in Lafayette, Louisiana. But we also get new duopolies in lots of markets. And as Jeff mentioned, if all these deals were done, just the transactions themselves delever us by about 0.25 point, and that is just the transactions. We have done a tremendous number of other initiatives that's going to be reducing our debt on a ratio basis prospectively. So with regard to other deals, yes, sure, we're going to talk about them. But right now, we've got a big job ahead of us, and we have to get these deals approved by the FCC. I don't see -- and Kevin is a better one to answer this question, but I don't see any real hurdles to getting every one of them done. And so for all of these -- just a handful, about 6, I think, new net up increase in markets, we are really excited to welcome them to our portfolio, but to see our increased depth in our local markets. And as you know, Gray Media is known for its content. The recognition with 81 Edward R. Murrow Awards is remarkable, and we're going to be able to increase local news, increase new local sports and increase new exciting content in each and every one of those markets.
Kevin P. Latek: Dan, this is Kevin. I'll just interject on the transactions. Everyone is talking about how everyone is really busy with transactions, but Gray has announced 5 this year, 4 in the last 4 weeks. The Scripps deal, as Hilton said, is historic. No one's ever done anything like what we did there. The Allen Media transaction announced a couple of hours ago, the Block transaction required a tremendous amount of time to, as you can imagine, negotiate, put together. And we have a lot of work to do to get through all the approvals. And then as you mentioned, we have essentially 17 new markets and duopolies to plan for and integrate, and that is where our focus is at. So while we're not saying we're not looking at anything, Hilton's precise comments where our focus is going to be on executing the transactions that we have announced, not chasing another 4 or 5 or 6 transactions over the next couple of months. So that's the comment. You asked about cash flow. We're not commenting -- we don't comment on multiples and cash flows. I think we've been pretty clear for a couple of calls now that we were going to pursue transactions only when they were deleveraging, and that's exactly what we've done here. I'll mention when I joined the company a number of years ago, Gray was more highly levered than it is today. And part of how we got out of that was we started doing some transactions that we're delevering, right? We started with a little one and then we progressively got larger. And those transactions were done at multiples that were lower than our leverage ratio, and we grew our way out of our leverage ratio through a couple of measures, but those transactions were really key to getting that done. And so we're kind of repeating that playbook here. But just to emphasize, we do not anticipate another several transactions over the next several months because our focus is going to be on getting these over the finish line and getting them integrated to close, get the money into the bank accounts, get these people into working with us, get the news expanded and the other strategies that we've talked about.
Operator: Next up, we have Steven Cahall of Wells Fargo.
Steven Lee Cahall: Just wanted to dig a bit more in the M&A as well. So Jeff, I was wondering if you could break the quarter turn improving leverage down to help us understand maybe what the net cash out is and what the EBITDA contribution is. And should we think of that as inclusive of synergies? Or is that prior to, I'm sure, what are some really significant synergies that you'll be able to drive through?
Jeffrey R. Gignac: Yes, Steven. So we really -- we don't want to comment beyond the quarter turn reduction in our total leverage ratio, inclusive of funding and synergies.
Steven Lee Cahall: Okay. Got it. And then just on the Q3 guide. So I know you went through a change in the way WANF is going to receive certain fees and expenses with its CBS affiliation. So I was just trying to understand if that had a meaningful impact on the retrans revenue guide for Q3 and overall EBITDA as well for Q3, which I think is quite a bit below where you were in Q3 2023.
Jeffrey R. Gignac: Yes. So the short answer to your question is yes. The P&L, we're not going to get into the details on exactly what the numbers are around any one station. Obviously, everybody is investing in the whole company. The P&L at -- just generically speaking, the P&L at WANF will shift much more in favor of advertising. So a piece of the retrans revenue side is a reduction in the rates that we'll get at WANF. You can see what we -- our guide incorporates what we see today on both sides of that, inclusive of everything that we know as of today.
Hilton Hatchett Howell: And Steven, let me just add something because I think color is kind of important, if you don't mind. With regard to WANF, we hosted our Board of Directors meeting there yesterday. It had been planned for some time. It couldn't have gone better. But one thing that we did, we utilized about 2 weeks ago, [indiscernible] Studios and had a full mini Atlanta-based upfront. And we had more than 300 guests that attended. It could not have gone better. And we expect to have a, candidly, a very robust sort of advertising opportunity, not just with the local community, but also for the political community. We've got a lot of political races that will be coming up in 2026. We're going to have a tremendous amount of local news, local sports, local entertainment and content that's really good. And honestly, it's what a lot of folks want to watch. And so we're actually very excited about Atlanta, our commitment to the city and the state of Georgia. And I think it's going to be amazing what we do as an independent here in the city.
Operator: Next up, we have Craig Huber of Huber Research Partners.
Craig Anthony Huber: My first question will just start with the CBS Atlanta station stuff. Can you just talk about what happened there exactly? I mean why the switch? I mean this obviously rarely happens in the industry when an affiliation is not renewed. What can you comment there, please?
Kevin P. Latek: Craig, this is Kevin. In the mid-1990s, CBS and Paramount came together. Paramount had a station group of independent stations. CBS had O&Os affiliated with the CBS network in all of those markets other than a small handful. The only markets in the United States where a network owned a TV station not affiliated with their network was Atlanta, Seattle and Tampa. And that's simply CBS. We have expected -- at least as long as I've been in the industry, which is going on 3 decades, we have long expected that CBS would have a strong interest in moving its affiliation to those independent stations at some point in time. When Gray acquired Meredith, we knew there was a strong possibility that CBS would move the affiliation to the independent at some point in time. When we closed on the station, we made significant investments we've talked about in prior calls and press releases. We changed the call letters to Atlanta News First, WANF. We made that our -- everything about the station was Atlanta News First. It's not about anything else. It's about Atlanta News First. we added dozens of reporters, tons of hours of local news, tremendous amounts of additional resources. And it shows in research, shows in the ratings, it shows in the station sales. At some point, that station was going to stand on its own as an independent. With the Super Bowl coming to Atlanta in February 2027, it seemed likely to us that CBS is going to want the affiliation back under independent station at some point prior to the Super Bowl and therefore, probably prior to the 2026 NFL season. So as we were negotiating with CBS this time around, the opportunity came up to take our station independent at this time. We felt very good about what the station has done, what it has accomplished, having gone from 3 regional Emmy nominations, the year we bought it to, I think they had 30-some out last year, and they won a national award...
Unidentified Company Representative: [indiscernible] for over 50.
Kevin P. Latek: Nominated for over 50. I mean we have -- the list of awards goes on and on, and that's not just awards recognizing journalism, it shows up in every other measure of that station. We felt very good. This was the right time to take the station to an independent, not during a political year, but this year. So we worked out a transition with CBS in which our station will stand on its own this month. So that's the back story. This is something that started in like 1990s when Paramount and CBS came together. And so we've gotten like 50 phone calls saying, is this because of something that happened in May or June or July or the Skydance deal or whoever won the Super Bowl. It has nothing to do with what's happened in the last 6 months or the last 5 years. There is a situation that has existed since the mid-1990s, and Gray saw the challenge, stepped up to the plate and got ready for what we are doing today. We could not be more prepared and excited and ready for that station to be Atlanta's News First in every metric, and we expect it will be there in time.
Hilton Hatchett Howell: And Craig, let me just emphasize in a public fashion. I mean, we still are a very excited CBS affiliate group. We renewed in 52 markets, and we're friends with the management team. This transition has gone well. And we wish at the CBS Atlanta, Channel 69, all the best in the future, and we will be happy competitors with them. And so there is no problem there. And I think that the broadcast affiliate relationship, while always challenging, will still remain one of the great partnerships in business.
Operator: [Operator Instructions] Next up, we have Alan Gould of Loop Capital.
Alan Steven Gould: I've got two, please. First, Jeff, congratulations on stretching out those -- extending those maturities till after 2 more political cycles. If your pro forma debt is now 5.75x levered right now, rough ballpark, how much do you think that can go down between now and the end of '28 with 2 more political cycles?
Jeffrey R. Gignac: Without giving a specific number, Alan, we think it's going to go down a lot. We're at 5.6 today. There's been some pressure on the denominator, which we expect will not be as intense as we move forward, given all the actions that we've taken. And so if you look out, pick your number for what cash flow you think we generate in the '26 and '28 political cycles. And we've been very clear not only through our words, but through our actions, what we're doing with capital allocation and paying down debt. And when you have 10.5% debt in your capital structure, there's a pretty good return on repaying that as quickly as you can. So the second lien deal was designed to get us to -- and you can see in the investor deck that we published how we're thinking about the plan and the sequence going forward. We're trying to be very transparent about how we're tackling the delevering piece here. It's capital allocation, but when we have the opportunities on the M&A side, allocating some capital there is actually a good way to accelerate the deleveraging. It's immediate. And then looking forward, it gives us additional cash flow on an ongoing basis. So it's too soon to tell you where I think we end 2028, but our longer-term objectives, we've been clear about, which is to drive to get back below 4x, which will have a pretty significant benefit on the equity. It will benefit our cost of debt. It's helpful in a lot of ways.
Hilton Hatchett Howell: Alan, this is Hilton. Let me just share a little piece of history, and I'm not going to throw dates at you, but I'm going to throw transactions at you. When we closed on the Raycom transaction 2019, more or less, [indiscernible] dates, but I guess I am. Within 18 months, we went -- because we levered up to close Raycom. We got to 5.5x, 5.6x. Within 18 months, we were down to 3.5x, all right? Now the world has changed. But the biggest delta between that deal and then the Meredith transaction, which is really the last time that we added any kind of debt to our portfolio, has been the last 4 years with interest rates going up to battle the inflation that was caused by a lot of excessive government spending. We're now in an interest rate, I hope, I believe it's going to be a decreasing environment. We have things balanced out. And so I just would put out to you the Raycom transaction as a historical antecedent to consider.
Operator: Next up, we have eli Lapp of BMO.
Eli Lapp: Sort of a 2-part, maybe following up on some prior questions. But I was wondering if you think about acquisitions, how does the size factor play in? Meaning your goal is to delever with these transactions. Does size play a decent role in that endeavor? And then also, can you give us a bit of a timetable for when the synergies get leveraged to that lower 0.25x that you're outlining?
Hilton Hatchett Howell: Well, this is Hilton. I think that those decreases in leverage happen almost upon closing. And so it could be very, very rapidly with regard to when those are realized.
Jeffrey R. Gignac: Yes. And eli, with regard to...
Eli Lapp: Did you realize day 1?
Jeffrey R. Gignac: I'm sorry, eli. So yes, yes, look, there is some short implementation period, but they're realized fairly quickly after we close those transactions. So that piece of it, it will start to come into the run rate of the actual cash generation of the business fairly quickly after close. With regard to the size of the transaction, I don't think we can comment on anything specific. We look at what's available that's out there that makes sense for us. And you can see what we've done. I'd say, the beauty of creating duopolies in these markets for most of the transactions that we're talking about or most of the stations that we're acquiring -- the beauty of those is that they are less risky in terms of integration, implementation, et cetera. They fit together. We already know the markets. We have people in a lot of those -- by definition in those markets. So for us, this was a really elegant opportunity to go ahead and add an additional heft in market that really accomplishes exactly what we want to do, which is to be the news leader in our markets and serve our communities and our advertiser clients. So we'll see what else comes along, but we've got a lot to digest right now. And I think we're pretty happy with what we've announced. But I can't predict the future entirely in terms of what else comes along and could make sense. That answers your question.
Hilton Hatchett Howell: Well, I'll just add one other thing, too. I mean we all expect to see significant changes in the regulatory environment. But at some point, bigger transactions are going to depend upon what happens with the FCC, the DOJ and the regulatory environment. So it's kind of tough to say, all right, we want to do some huge deal or we want to put our companies together with another company or anything else because we need to see the parameters of what the world looks like from a regulatory standpoint before we can do anything one way or another. And so we're kind of in a wait and see things on bigger things.
Operator: Next up, we have Avi Steiner of JPMorgan.
Avraham Steiner: I've got a couple of questions. First, and if I missed this, I apologize. I recognize that everyone is talking to everyone, but I'm curious if the 2 groups of TV assets you just bought from Block and Allen Media, were those competitive auctions? Or did the sellers approach you because of maybe particular benefits Gray brings to the table? And then I've got a couple more.
Kevin P. Latek: Yes. Avi, sorry, with time constraints and the number of callers, we're taking one question per folks. And I think we have you on our schedule for a call later today, so we can address the others later. We're under NDAs with our sellers, so we can't talk about their processes. I would say that, look, it's a small industry, folks know each other. On the Block side, I'm pleased to say I've worked with Block folks literally since I started in this industry in 1997. So I've known them for a very long time. And we all know -- we know Byron, we've done number of transactions with him in the past. I've served with him on the CBS affiliate Board for 4 years. We all know them from a number of industry events. So it's not like we need a broker to introduce us to people. Everybody knows everyone. Sometimes bankers are involved, sometimes they're not. I think they're not with us on these transactions. But whether people go to an auction process or hire bankers or just call us, it just depends on their situation, and we can't really comment on their decisions. I would say that -- I think our relationships with the counterparties here, which would include Scripps, have a lot to do with how we got these transactions done. There's a lot of trust that's required here and a lot of history with folks make these transactions go smoothly and putting them together and getting them closed, and that's really important to us. We have, I think, a call with you in a little bit, we can hit your other questions at that time.
Operator: And with that, ladies and gentlemen, we do have time for one final question. David Hamburger of Morgan Stanley.
David Michael Hamburger: Your guidance for the third quarter shows a sequential decline in retransmission consent revenue of about $25 million, and it shows a decline in network affiliate fees of about $19 million. I don't think we've seen such a big kind of step function in sequential trends in those 2 line items. Does this have to do with the CBS affiliate change? Or is there something else that we should think about? And should we think about that going forward as well?
Donald Patrick LaPlatney: Yes. So look, there definitely is an impact from WANF. This is Pat LaPlatney, by the way. But the change in the reverse payments, the drop in reverse payments is the result of a multiyear effort to create a sustainable model, and we feel like we're getting there. That effort is ongoing. And look, there's a lot of pieces to these network deals. Obviously, the financial piece is big, but there's a lot of pieces, and we're doing everything we can to find agreements that make sense for not only us but our network partners. So it's not just WANF, it's a lot of things.
Hilton Hatchett Howell: Well, I think that's the last question. And so in closing, let me first thank everyone for joining us this morning. And I want you all to be nice to folks if you have calls scheduled later today because we literally finished off at dawn this morning on the Allen transaction. And literally, everyone from our Board of Directors to everyone sitting around this table today has been involved, and we're very excited. I think these transactions are tremendously accretive, but it's even more than that. They're immensely strategic. They're going to help us in terms of the growth of our sports portfolios, whether it's the Pelicans out of New Orleans or the Braves out of Atlanta. Across the board, they expand what we can do and what we can deliver as a local broadcaster of note. We are very proud of our company, and thank you for your support and your interest this morning. We'll talk to you guys next quarter.
Operator: And with that, ladies and gentlemen, this does conclude your call. You may now disconnect your lines, and thank you again for joining us today.